Operator: Good afternoon and welcome to A-Mark Precious Metals Fiscal First Quarter 2016 Conference Call. My name is Shea and I will be your operator this afternoon. After the market closed, the Company issued the results of its fiscal first quarter 2016 in a press release, a copy of which is available in the Investor Relations section of the Company's Web-site at www.amark.com. The link to the Investor Relations section is at the bottom of the A-Mark's Home page. Joining us for today's presentation is the Company's CEO, Greg Roberts, and COO, Thor Gjerdrum. Following their remarks, we will open up the call for your questions. Then before we conclude today's call, I would provide the necessary cautions regarding the forward-looking statements made by the management during this call. I would now like to remind everyone that this call will be recorded and may be available for replay via a link available on the Investor Relations section of the Company's Web-site. Now, I would like to turn the call over to A-Mark's CEO, Mr. Greg Roberts. Sir, please proceed.
Gregory N. Roberts: Thank you, Shea, and welcome everyone. Thank you for joining us today. The first quarter was exceptionally strong across the board, underscoring the earnings power of our unique business model. In fact, our gross profit and net income achieved record levels. Trading ticket volume also increased 50% to near record levels and both our gold and silver ounce volumes more than doubled compared to the same year ago period. These achievements were driven by the unprecedented activity with our direct-to-consumer customers as well as the strength in our core trading business. Q1 also marked the first full quarter of activity in our Las Vegas logistics facility. Since its opening, the facility has garnered significant interest from current and prospective customers who are now able to take full advantage of the facility's value-added service offerings. Our financing subsidiary also posted a record number of loans outstanding, capitalizing on the growing number of borrowers in the marketplace. Before I go further, I would like to turn the call over to our COO, Thor Gjerdrum, who will walk us through the financial details for the quarter. Afterwards, I will return to talk more about our operational progress and business outlook for the second quarter of fiscal 2016. Thor?
Thor G. Gjerdrum: Thank you, Greg, and good afternoon everyone. Now to our financial results for the fiscal first quarter ended September 30, 2015. Revenue in the first quarter totaled $2.01 billion, which was up 38% from $1.45 billion compared to the same year ago quarter. This was driven primarily by an increase in the total amount of gold and silver ounces sold during the quarter, which in turn was due to increased volatility and decreased commodity prices. Gross profit, our gross profits increased 152% to $14.4 million or 0.72% of revenue, from $5.7 million or 0.39% of revenue in the same year ago period. The significant improvement in gross profit was due to higher spreads on our primary products resulting from the significant increase in demand and supply constraints. SG&A expenses for the first quarter of fiscal 2016 totaled $6.4 million. This was up 52% from $4.2 million in the same year ago quarter. The increase in SG&A expense was due primarily to performance based compensation accruals which increased due to higher levels of profitability as well as the operational cost of our Las Vegas logistics center. This new logistics center was established to provide an array of fulfillment services to our customers. Our net income for this fiscal first quarter increased 371% to $5.4 million or $0.76 per diluted share, from $1.1 million or $0.16 per diluted share in the same year ago quarter. The increase was due to higher revenues and gross profit, offset by higher SG&A expenses. Now turning to the balance sheet, at September 30, we had $5 million in cash on our balance sheet, which is up from $4.7 million at September 30, 2014. It's important to note that our cash balance can fluctuate quarter to quarter because we typically utilize excess cash to pay down our line of credit in order to minimize interest expense. Our access to capital remained strong with a total of $176.9 million drawn from our line of credit at quarter end. Our maximum credit facility is currently $205 million. We also have a product financing arrangement with $50 million in draws as of the end of the quarter. This arrangement provides us with approximately $100 million in additional inventory finance capability. Our current ratio remained strong at 1.15, which is flat compared to the same year ago quarter as well as in line with our industry. And our tangible net worth totaled $53.9 million or $7.63 per share, which is up 11% from the same year ago quarter. Finally, as we announced last week, our Board of Directors maintained our quarterly cash dividend distributing $0.05 per share to stockholders of record this Friday, November 13. The dividend demonstrates our Board's confidence in our balance sheet, future cash flows and commitment to maximizing shareholder value. This completes the financial summary. Greg?
Gregory N. Roberts: Thank you, Thor. As evidenced by our latest results, we benefited greatly from the increased levels of demand and volatility in the precious metals markets. As many of you know, typically when volatility increases, we see greater trading volumes, larger transaction spreads and more activity in our logistics and financing business. The early Q1 decreases in the price of gold and silver helped to boost our financial performance, especially given that we hedge our exposure to the market and are not directly affected by these price movements. During fiscal Q1 2016, the average spot price of gold was $1,148 per ounce. This declined 5% from the prior quarter and 12% from the same year ago quarter. Silver prices experienced some more volatility and decline with the average spot price of $15.82 in fiscal Q1, decreasing 8% from the prior quarter and 23% from the same year ago quarter. As a result of these price declines and increased demand, we were able to achieve wider bid ask spreads that translated into higher profits per transaction. Not only did our spreads increased, but our volume did as well, helping us capture more revenue and gross profit with our trading desks processing a new record number of transactions. Last quarter we introduced a new metric, trading ticket volume, which represents the number of tickets processed across our trading desks. For fiscal Q1, our trading ticket volume totaled 28,910 tickets, which was up 27% from the prior quarter and 50% from the same year ago quarter. Supporting this increase in tickets was a significant increase in the number of gold and silver ounces sold in the first quarter compared to the same year ago period. For fiscal Q1 2016, our physical gold ounces sold were up 102% to 895,685 ounces, and physical silver ounces sold were up 123% to 40.5 million ounces. To put these numbers into perspective, our trading desks sold the highest amount of god ounces in a single quarter over the last two years. In Q1, our desks sold more than 40% of the total silver ounces A-Mark sells in a typical year. Overall, it's clear that first quarter was a great start to the fiscal year. However, it's important to keep in mind that our second quarter historically tends to be a slower quarter. This is largely because it falls in a transitional period when many financial and retail customers forgo buying the current year precious metal products in favor of waiting for those struck in the next year's day. While in the first six weeks of fiscal Q2, we have seen a drop in our volumes and ticket counts, we attribute this to a combination of macroeconomic factors, including the U.S. Mint's declining sales numbers in October, supply and production constraints in our silver products, as well as a change in investor sentiment as major stock indices have rallied. If current market conditions are sustained, we could experience a lower performing yet still profitable second fiscal quarter compared to the same year ago period These variabilities aside, we anticipate stronger demand as we move into January, accelerated by the resumption of normal customer buying activity as well as our continued execution of several key initiatives. These include launching 19 new customer coin programs over the next six months, consolidating our logistics facilities to significantly reduce costs and improve efficiencies as well as actively pursuing strategic partnerships to augment our established platform and capabilities. Representing an incremental enhancement to our gross profit, our custom coin pipeline has grown from 24 unique programs a year ago to more than 40 to date. Because of the strong consumer interest for these differentiated products, we are focused on increasing our strategic partnerships to expand our collection of highly desired and unique custom coins. We are continuing to work closely with our wholesale customers who deal direct to consumers in the online marketplace. As mentioned on previous calls, we're encouraged with their continued execution and strong performance to date. We remain optimistic for the opportunities that lay ahead. Another part of our value added services offering is our financial subsidiary, Collateral Finance Corporation or CFC. Fiscal Q1 marked a record number of CFC loans outstanding as this area of our business continued to experience steady demand. This improvement was achieved by capitalizing on increased demand of borrowers in the marketplace. In fact, our total borrower count was up 35.8% to 470 from 346 in fiscal Q4 2015, driven by new loans and acquisitions of loan portfolios. Notwithstanding the higher interest income received, we view this result as proof of the competitiveness and versatility in our business model which offers special financing for a variety of dealers, investors and collectors. Transitioning now to our Las Vegas logistics facility, we are excited to record our first full quarter of operational activity. This 17,000 square foot facility is currently servicing a number of existing customers. Along with this, we plan to consolidate select operations into the Las Vegas facility by the end of fiscal Q2 2016, which we believe will provide us with a number of operational efficiencies. The facility offers our customers a full suite of high-margin ancillary services, including fully collateralized loans and storage solutions for precious metals. A key objective in fiscal 2016 is to accelerate our expansion of turnkey logistics services for more customers. This is in line with our broader objective to diversify our business model from our core trading business, deepen our customer relationships and enhance our revenues and gross margins. We also plan to expand our marketing efforts within Europe as we see a number of growth opportunities in this underserviced market. As such, we are growing our European trading and logistics presence to capitalize on this increased demand and market activity. Another strategic objective this year is to pursue complementary strategic partnerships and accretive acquisitions to expand our geographical footprint and capabilities. So in sum, the first quarter was a strong start to fiscal 2016. We plan to build on our momentum aiming to capitalize on the wide ranging opportunities in order to further differentiate A-Mark as one of the leading diversified precious metals trading companies. We believe fiscal 2016 has the potential to be a year of revenue growth and profitability. Now with that, we're ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: [Operator Instructions] Our first question comes from Juan Molta from B. Riley.
Juan Molta: My first question is in regards to the last comment, the acquisition pipeline, could you provide any color as to how that look like right now?
Gregory N. Roberts: I think we are always looking at opportunities and looking for ways to grow our footprint as we said. There is nothing really in the pipeline at this moment but we have a number of areas that we continue to look at, whether it'd be in the mine finance business or in the logistics side of our businesses that we think may be able to grow the business and give us greater market share, but nothing imminent right now.
Juan Molta: Okay, very good. And going on to the second question, the quarter itself was extremely strong, it was much more than what we were expecting and we had raised our numbers, and commenting on the fiscal second quarter, what you've seen in the first six weeks, is there any way to provide any additional color to the extent of the performance of what could be a performance decline in Q2 at this time?
Gregory N. Roberts: I think you see the numbers from Q1, so there was a lot of ounces and a lot of metal put into the marketplace in Q1. It takes some time to digest through that for a lot of our customers as well as I think that in the end of Q1 and the beginning of Q2, you did see a change in sentiment. We went from an environment where there was a lot of uncertainty in the equities markets to a period where you had a number of weeks in a row where the market was up. I think the combination of the supply and the ounces sold in the first quarter and the change in sentiment a little bit and the lower demand in the beginning of Q2 has caused us to make the comments that we did.
Juan Molta: Okay, perfect. And then third question and I'll go back into the queue, has the allocation from the U.S. Mint, has it been positive for your other products as retail investors that want to purchase primary product, at least in the silver market, they are limited and they have to opt for your custom products or any other type of products you offer?
Gregory N. Roberts: Yes, I think that's a really good point. When the Mint allocates silver products, that demand has to go someplace. So, one of the benefits of our custom coin products is that we queue these up sometimes six months in advance for production and delivery. So we do end up with product that we have scheduled and that we have coming into inventory in the time where in this case the U.S. Mint went on allocation and there was a supply constraint on the U.S. Silver Eagle. The Canadian Mint also had some supply disruptions, and what we see from that is increased spreads and increased premium that we can collect on the coins that we do have to sell. So it definitely factors in and we could have sold a lot more U.S. Silver Eagles if we had them, but that's not something in our control.
Juan Molta: Okay, perfect. Very good quarter, guys. Thank you very much. I'll come back in the queue.
Operator: [Operator Instructions] We do have a follow-up question coming from Juan Molta from B. Riley.
Juan Molta: Another question and I'll move, regarding the balance sheet, there's a few line items, and we haven't gone through the models completely yet, but could you address those as well as the increased debt? Is it just a function of you trying to satiate that increased demand?
Gregory N. Roberts: I'll let Thor answer that.
Thor G. Gjerdrum: The higher inventories are a direct result of the demand in Q1. As supplies come due and product is due to customers, we tend to see higher levels of inventory because in general we're delivering higher volumes into the marketplace. So it really is a direct result of the higher activity levels compared to June and compared to the prior year.
Juan Molta: Okay. And the increase in your debt, that goes the same way, just ramping up the inventory?
Thor G. Gjerdrum: That's right. If you look at the ratio between net debt to the inventory, it's pretty consistent. It's just simply a higher use of our lines for the higher amount of inventory that's flowing through our system each day.
Juan Molta: Okay, very good. Next question regarding Europe, most of the demand and the increase in revenue, was that domestic or was there any European benefit as well in the quarter?
Gregory N. Roberts: Surprisingly, I think we did see some activity, some increased activity in Europe at the end of last fiscal year, in May and June. But in Q1, I would say these numbers were predominantly domestic numbers driven by what we believe are small retail investors.
Juan Molta: Okay, very good. And then I have a final question here. Regarding CFC, that increase in borrowers, that is also an increase in the same type of investor, the retail investor seeking silver product?
Gregory N. Roberts: Yes, I think that whenever you see an uptick in volumes, we generally see an uptick in borrowings and number of borrowers who are either adding on to their positions possibly or they are looking to make an initial purchase with some leverage. So I would attribute some of the increase in CFC to the market conditions in Q1, but I would also say that we have really ramped up our efforts from a marketing perspective in CFC and it's an area that the Company is focused on and we're very optimistic that this is an area that will continue to grow, even in slow markets.
Juan Molta: Okay, perfect. That's all I have. Thank you very much, and again, good quarter.
Operator: [Operator Instructions] Our next question comes from Alex Toskovich from Brown Brothers Harriman.
Alexandra Toskovich: Quick question for you on CFC. With the growth in the portfolio, have you had to give a little bit on the spreads that you are getting on those loans or have you been able to maintain whatever the target spread has been in the CFC portfolio for the past 18 months?
Gregory N. Roberts: I think we have been able to maintain the spread or the margin, and I don't know the exact numbers but I feel overall the portfolio is actually returning a little higher interest rate than it has 12 months ago or 18 months ago.
Alexandra Toskovich: All right, so doing better than the banks are. Congratulations on an excellent quarter.
Operator: Thank you. At this time, we have no further questions. I will turn the call back over to Mr. Roberts for closing comments.
Gregory N. Roberts: Thanks to everyone who joined today. I want to thank our investors for their continued support as we continue to build A-Mark into the global leader in precious metals trading. We look forward to updating you on our next call. Shea?